Operator: Ladies and gentlemen, good afternoon, and thank you for standing by. Welcome to Accenture's First Quarter Fiscal 2012 Earnings Conference Call. [Operator Instructions] And as a reminder, this conference is being recorded. I would now like to turn the conference over to our host, Managing Director of Investor Relations, Ms. KC McClure. Please go ahead.
KC McClure: Thank you, Tom. And thanks, everyone for joining us today on our first quarter fiscal 2012 earnings announcement. As Tom just mentioned, I'm KC McClure, Managing Director of Investor Relations. With me today are Pierre Nanterme, our Chief Executive Officer; and Pamela Craig, our Chief Financial Officer. We hope you've had an opportunity to review the news release we issued a short time ago. Let me quickly outline the agenda for today's call. Pierre will begin with an overview of our results. Pam will take you through the financial details, including the income statement and balance sheet, along with some key operational metrics for the first quarter. Pierre will then provide a brief update on market positioning and progress against our growth strategy. Pam will then provide our business outlook for the second quarter and full fiscal year 2012. And then we will take your questions before Pierre provides a wrap up at the end of the call. As a reminder, when we discuss revenues during today's call, we're talking about revenues before reimbursements, or net revenues. Some of the matters we'll discuss in this call are forward looking, including the business outlook. You should keep in mind that these forward-looking statements are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. And that such statements are not a guarantee of our future performance. Such risks and uncertainties include, but are not limited to, general economic conditions and those factors set forth in today's news release and discussed under the Risk Factor section of our annual report on Form 10-K and quarterly reports on Form 10-Q and other SEC filings. During our call today, we will reference certain non-GAAP financial measures, which we believe provide useful information for investors. We include reconciliations of those measures, where appropriate to GAAP, in our news release, or on the Investor Relations section of our website at accenture.com. As always, Accenture assumes no obligation to update the information presented on this conference call. Now let me turn the call over to Pierre.
Pierre Nanterme: Thank you, KC, and thanks, everyone for joining us. I am pleased to tell you about our excellent results for the first quarter, which demonstrate that we continued to execute very well against our growth strategy. Here are a few highlights. We delivered strong new bookings of $7.8 billion. We grew revenues 14% in local currency, to $7.1 billion, with all 5 operating groups and all 3 geographic regions delivering double-digit growth. Earnings per share grew 19%, to a record $0.96. Operating income was $981 million, our highest ever, with strong operating margin of 13.9%. We continued to have a very strong balance sheet, ending the quarter with a cash balance of $5.1 billion. And we continued to return cash to shareholders, through share repurchases and the payment of a semiannual cash dividend of $0.675 per share, which was a 50% increase over our prior dividend, as you can see, we did very well in Q1 and we are particularly pleased that our growth was broad-based across all dimensions of our business. Now let me hand over to Pam who will review the numbers in greater detail. Pam, over to you.
Pamela J. Craig: Thank you, Pierre, and happy holidays and thank you, all, for joining us today. I am pleased to tell you more about Accenture's fiscal 2012 first quarter financial results. We delivered strong bookings and revenue growth in Q1, including, as Pierre mentioned, double-digit local currency revenue growth across our broad base of business, in all 5 operating groups and all 3 geographic regions. Our record revenues for the quarter, drove record EPS results as well. Unless I state otherwise, all figures are GAAP, except the items that are not part of the financial statements, or that are calculations. New bookings for the quarter were $7.8 billion and reflected a positive 3% foreign exchange impact, compared with new bookings in the first quarter last year. Consulting bookings were $4.2 billion. Outsourcing bookings were $3.6 billion. Now let me give you some detail on bookings in the first quarter. In Management Consulting, we had strong bookings, in large part, because of increased client demand for projects that delivered near-term and structural cost take-out, especially for sourcing in other parts of the supply chain. Bookings also reflected demand for services on large scale business transformation programs. And we continue to see clients seeking to drive new revenue through improved sales and marketing effectiveness. Overall, we see our clients taking proactive action in focused ways to respond to the current, more volatile market conditions. Turning to Technology Consulting. Our bookings moderated in the quarter, but our skills are in high demand. Clients continue to value our independence and track record, as they seek strategic help to further optimize global IT operations and leverage cloud-based solutions, to reduce fixed costs and increase business agility. Systems integration bookings continued to reflect strong demand for ERP and custom systems, including large-scale transformation programs and the use of newer technologies. Clients continue to extend such solutions across the enterprise and to expand their capabilities in mobile, data management flash analytics and social, to improve processes and customer relationships. Turning to Outsourcing. In Technology Outsourcing, we see more demand for application outsourcing that is broad-based. We signed many new contracts in the quarter, across multiple industries and, notably, in Europe, as well as expansions for scope and volumes on existing client contracts. This trend reflects clients needs to reduce ongoing systems cost so they can direct more IT spending to new technology areas to support changes in their businesses. BPO bookings in Q1 were very strong for a second consecutive quarter, demand was most pronounced in North America and in our industry specific offerings, especially in our Resources, Communications, Media & Technology, and Health & Public Service industries. And demand for our Global Delivery Network continues to grow, as we are leveraging it for increasingly complex work. Across the globe, clients are tapping our global delivery capability, not only to take advantage of cost effective delivery, but also to tap specialist skills in ERP, specific industries and newer technologies. The work we are doing in the GDN is increasingly more sophisticated and made up of longer-term committed relationships for maintenance, development and enhancements. In summary, we had a strong bookings quarter, with $100 million or more in bookings at 9 clients around the world. Turning now to revenues. Net revenues for the first quarter were just under $7.1 billion, an increase of 17% in U.S. dollars and 14% in local currency, from the same period last year. These revenues reflected a positive foreign exchange impact of nearly 3%, compared with Q1 last year. They were also above our guided range of $6.8 billion to $7 billion, as our for foreign exchange assumption given last quarter was 3% as well. Consulting revenues were $4.1 billion, an increase of 14% in U.S. dollars and 11% in local currency. Outsourcing revenues were $3 billion, an increase of 21% in U.S. dollars and 18% in local currency. Now let me give you some highlights of revenue growth in our operating groups. The Products operating group had local currency revenue growth of 17%, driven by strong and well-balanced growth across the broad set of products industries in both Consulting and Outsourcing and around the world. Our core ERP transformation offerings continue to be the backbone of Products. In addition, we saw a strong demand for our services related to sales and channel management solutions and supply chain. Notably, we are growing the number of clients where we have deep relationships globally. Communications, Media & Technology revenues increased 16% in local currency, with growth that was also broad-based, geographically, and across the CMT industry. Outsourcing growth was very strong and was driven by clients' continued focus on improving their operations, particularly in supply chain, procurement, finance and customer care, and by demand for additional support for Mobility solutions. Consulting revenue reflected our clients continued focus on increasing operational effectiveness, improving customer service and launching new products and services. Resources revenues grew 15% in local currency, also with strong growth in both Consulting and Outsourcing. This revenue growth was driven by ERP and global operating model programs, with particularly high growth in energy and natural resources and in several of our priority emerging markets. Health & Public Service revenues increased 11% in local currency, reflecting strong growth in health, again, this quarter, including our connected health and health administration offering. Our repositioning of public service continues with our focus being to help our public service clients drive efficiencies, as well as to support human services clients to modernize their systems. In Financial Services, revenues grew 11% in local currency due to very strong growth in Outsourcing across all industries. This growth reflects clients' focus on near-term cost reduction and operational effectiveness, as this has become an even stronger imperative across our Financial Services industries globally. We did see modest Consulting growth in Financial Services, driven by strong growth in insurance across our geographic regions. This growth was partially offset by lower year-over-year Consulting revenue in banking and capital markets, which we had largely expected. In summary, we were pleased with the strong and balanced revenue growth delivered in Q1 by all 5 operating groups. Moving down the income statement. Gross margin was 31.8%, down 40 basis points from 32.2% in Q1 last year. Sales and marketing costs were $837 million, or 11.8% of net revenues, compared with $731 million, or 12.1% of net revenues for the first quarter last year, a 30-basis point decrease. General and administrative costs were $433 million, or 6.1% of net revenues, compared with $386 million, or 6.4% of net revenues, for the first quarter last year, also, a 30-basis point decrease. This all resulted in record operating income for the first quarter of $981 million, reflecting a 13.9% operating margin compared with $827 million or a 13.7% operating margin for the same period last year, a 20-basis point expansion. As a reminder, we manage our business to operating margin. Although our payroll costs grew slightly faster than revenue, we worked to offset that through tighter management of non-payroll costs. Our margin was also impacted by a favorable foreign exchange movement. Operating margin improved in Health & Public Service and in Products due primarily to improved contract profitability in those operating groups. Operating income decreased and operating margin fell from a high-level in last year's Q1 in Financial Services, reflecting lower contract profitability, higher business development costs and higher costs related to recently closed acquisitions. Below operating income, our effective tax rate for the quarter was 28.3%, flat, compared with the same period last year. Net income for the quarter was $712 million, compared with $606 million for the first quarter last year, an increase of 18%. Diluted earnings per share were $0.96, compared with $0.81 in the first quarter last year, an increase of 19%. This $0.15 increase, reflects a $0.12 increase from higher revenue, and operating income in local currency, a $0.02 increase from favorable foreign exchange rates and a $0.02 increase from a lower share count, offset by a $0.01 decrease from lower non-operating income. Turning to some other key operational metrics. We ended the quarter with global headcount of about 244,000 people and we now have approximately 146,000 people in our Global Delivery Network. In Q1, our utilization was 87%, up from 85% in Q4. Attrition, which excludes involuntary terminations, was 12%, down from 14% in Q4 and 15% in Q1 last fiscal year. Lastly, we expect that at least 60,000 people will join our company around the world this fiscal year. Now let's turn on our cash flow. Free cash flow for the quarter was $394 million, resulting from cash generated by operating activities of $475 million, net of property and equipment additions of $81 million. For the same period last year, free cash flow was $31 million. The higher level this year included an uptick in client prepayments. Turning to DSOs. Our days services outstanding were 32 days, up from 30 days last quarter and down from 33 days in the same quarter last year. Our total cash balance, at November 30, was $5.1 billion, and compares with $5.7 billion, at the end of August. The Q1 ending balance includes a negative impact of approximately $257 million, reflective with how much other currencies moved versus the U.S. dollar between November 30 and 3 months prior. Before I turn things back to Pierre, I will comment on our ongoing objectives to return cash to shareholders through share repurchases and dividends. In the first quarter, we repurchased, or redeemed, approximately 5.3 million shares for $285 million, at an average price of $53.36 per share, including 3.4 million shares repurchased in the open market. At November 30, we had $5.8 billion of share repurchase authority remaining. Also in November, we paid a semiannual cash dividend of $0.675 per share for a total of $475 million. This represented the $0.225, or 50%, increase over the dividend we paid in May. In summary, we had a strong first quarter and are off to a good start in fiscal '12. I continue to be very proud of our Accenture people and their exceptional ability to drive our business in a way that serves our clients and shareholders so well. And now, here's Pierre to give you some interesting color on how we are executing our growth strategy and delivering business value for our clients around the world.
Pierre Nanterme: Thank you, Pam. Now I would like to talk about how we are leveraging marketplace opportunity to drive growth, particularly in the context of the current economic environment. Of course, there continues to be volatility in the global economy, largely due to uncertainty around Europe's sovereign debt challenges. We're carefully watching the actions that governments in Europe are taking to stabilize markets, restore confidence and create conditions that would support our return to economic growth. While Europe works on these issues, other parts of the world are exhibiting positive economic growth, especially our priority emerging markets. Moving forward, we will continue to monitor the macroeconomic environment very closely and the implications for our business. In this context, we are executing a growth strategy that resonates with the needs of our clients. We have a relentless focus on industry and technology differentiation and accelerated geographic expansion. Our clients continue to invest in transformation and realize that they must address major structural issues resulting from the long-term trends we previously identified -- globalization, regulation, operational efficiency -- to which we can also add consumerization. This is driving demand for our services. Let me give a few examples of the work we are doing for some of our largest clients, at the very core of their businesses. For one of the world's largest pharmaceutical companies, Accenture is the partner of choice on many projects, including a Nike infrastructure rationalization program across more than 30 countries. We are helping one of the world's leading mining companies develop and upgrade its core ERP system. The program is designed to significantly improve and standardize processes to drive business value across the entire organization. And just this week, we announced an agreement with a leading U.S. property and casualty insurer to provide claims management support on a Software as a Service basis to be delivered from the Cloud. Accenture's claim management services will enable carriers to have valuable capacity and better align costs with the volume of claims activity. In terms of industry and technology differentiation, we continue to invest in our priority industries. In the communications industry, through Accenture network services, we are helping our clients manage the rapid growth in mobile and broadband data traffic while improving customer service and operating efficiency. Another example is that we are helping clients across the utilities, energy, chemicals and natural resources industries accelerate enterprise-wide business value through Accenture Advanced Enterprise Services, which links industry-leading processes to a preconfigured ERP solution, leveraging leading technology platforms. Geographic expansion remains key to the execution of our growth strategy. I'm particularly pleased with the progress we are making in our 10 priority emerging markets, which, in Q1, grew at a significantly faster rate than the rest of Accenture. And just as important as our growth in these markets, is the quality of the relationships we have with our clients there. In addition to helping global clients expand into emerging markets, we have developed major client relationships with leading companies in these markets, several of which are already our Diamond Clients. To further support our growth strategy, we continue to invest in our brand, which is among the top 50 in the world. Last month, we launched a new global brand campaign, featuring clients, and now we are helping them create significant and tangible business value. This new campaign is bringing our high-performance delivered brand positioning to the next level. And of course, we continue to manage our company with rigor and discipline to drive profitable growth. With that, I will turn the call back to Pam, who will provide our business outlook for the second quarter and the full year.
Pamela J. Craig: Thank you, Pierre. As a reminder, each quarter, we provide an outlook for the next quarter's revenue and an update on our annual outlook for the full fiscal year. As our fiscal Q2 takes shape and we turn into calendar year '12, we recognize, as Pierre said, that we are operating in a macroeconomic environment that continues to be uncertain and volatile, with a particular focus on what is happening in the Eurozone. We are vigilant about any impact these and other developments may have on our global business. So with that in mind, let me share our view in Q2 and the remainder of the fiscal year. For the second quarter, we expect revenues to be in the range of $6.5 billion to $6.8 billion. This range assumes a foreign exchange impact of negative 1% for the quarter. We have broadened the revenue range we see for the quarter in order to allow for some flexibility and timing of start of new work in the calendar year. Now turning to the full fiscal year, we now assume a foreign exchange impact, also, of negative 1%. As you know, we form this assumption based on how the rates have moved over the last couple of weeks, and we have seen them bounce around in the range of negative 1% to negative 2%. Taking into account our Q1 results, what we see for Q2 and how the pipeline is shaping up for the second half, we continue to expect our fiscal year '12 revenue outlook to be 7% to 10% growth in local currency. We've had strong bookings over the last 2 quarters, and we have some work to do to shape more business for the second half of our fiscal year and into the next. We continue to expect new bookings for the fiscal year to land in the range of $28 billion to $31 billion. We continue to target the same level of bookings in local currency and support the same overall range, even with our updated assumption for foreign exchange. Within that, we also expect System Integration bookings to moderate somewhat, going forward, and there may potentially be a further lift in Outsourcing bookings, over what we expected 3 months ago. We continue to expect operating margin to be in the range of 13.7% to 13.9%. You should expect some fluctuations, quarter-to-quarter, as we've experienced in the past. We continue to expect our annual effective tax rate to be in the range of 27% to 28%. We now expect our earnings per share for the full fiscal year to be in the range of $3.76 to $3.84, down $0.04, reflecting our updated assumption for foreign exchange. Finally, we continue to expect operating cash flow to be in the range of $3.6 billion to $3.9 billion; property and equipment additions to be about $500 million; and free cash flow to be in the range of $3.1 billion to $3.4 billion. We remain committed to return a substantial portion of the cash we generate to shareholders. In fiscal '12, we continue to expect to return at least $3 billion, through dividends and share repurchases. We now expect to reduce the weighted average diluted shares outstanding by closer to 2%, due to our current view on the phasing of repurchases over the year. I would like to give credit to our experienced leadership team and to our people overall as our business right now is well-balanced and well-positioned for the future. We remain focused on executing our growth strategy with discipline, maintaining a world-class balance sheet and generating strong free cash flow, while staying close to our clients and working with them on their most critical business needs as we drive our business forward. With that, let's open it up so that we can take your questions. KC?
KC McClure: Thanks, Pam. I would ask that you each keep your questions limited to one question and one follow-up to allow as many participants as possible to ask questions. Tom, would you provide instructions for those on the call, please?
Operator: [Operator Instructions] Our first question today comes from the line of Tien-Tsin Huang, please go ahead, representing JPMorgan.
Tien-Tsin T Huang - JP Morgan Chase & Co, Research Division: Just -- I guess I observed definitely an uptick in cost take out projects, that you are highlighting there, Pam, in terms of your bookings commentary. So and my question there is, is there enough of this cost cutting work to do, to offset this transition away from perhaps some of the discretionary work that you typically see or some of the transformational projects that you might see? I'm just trying to understand this transition, assuming this path continues and what that might mean for the bookings trajectory.
Pamela J. Craig: Well, there's plenty of cost-cutting work and I would suggest that much of it is indeed transformational, given that there's a lot of structural costs to be addressed as well. But let me let Pierre give some color, too.
Pierre Nanterme: Yes, when we are talking about cost take out for [ph] you would have in mind to work at the shedded with the Outsourcing and that kind of work. But when you're talking about cost take out, you have a large varieties of activities. We are doing -- from a nemesis standpoint and especially, I'm think about all of the work we're doing in Technology Consulting, with all the technology rationalization, if you will, I'm thinking about all the work we could do in Management Consulting, in terms of driving more operating model efficiency. And I'm thinking, of course, about all the new technologies, if you will, and innovation we're putting in the market, which are contributing to cost take out improvement, and I'm thinking about some cloud-based services we are providing to clients through different business models. We are contributing to cost take out, so it's not only one part of our business, but it's a full range of our services we can bring to bear.
Tien-Tsin T Huang - JP Morgan Chase & Co, Research Division: And just as my follow-up, I guess, I think you mentioned that, Pam, the wider range for the second quarter revenue guidance, what's driving that? Is it -- sounds like you're buffering for a little bit of transition for the calendar year.
Pamela J. Craig: Yes, I mean, our business runners don't see it, but I just thought that it was a good idea to just put a little in there and so I just put a little in there on the bottom. So just in case that start up on a few things is delayed a bit.
Operator: Our next question is from the line of Rod Bourgeois from Bernstein.
Rod Bourgeois - Sanford C. Bernstein & Co., LLC., Research Division: I guess where the questions are going to turn, from an investor standpoint, is all about whether discretionary services spending is beginning to show signs of softening. Yesterday, as you know, Logica, in Europe, attributed its struggles to a weaker economy in Europe. We argue that a lot of those issues are company-specific, coming out of Logica. But still, it raises a question about whether the Consulting market demand scenario in Europe is starting to fade. Can you comment on that, please?
Pierre Nanterme: I think to get started with that, I mean, we are very pleased with what have been our bookings in Q1, in terms of consulting and we're coming very strong. And again, I think at the end of the day, it all depends on your positioning and what you do with clients. And as you know, positioning has always been to be much more on the kind of CEO corporate agenda, driving work around, what we are calling transformations, i.e. program which are critical for the company to drive for better performance. And I think this is what we continue to focus on and with the right mix of work from the Consulting and the Outsourcing. So, so far, we do not see a significant shift in the buying pattern of our clients.
Pamela J. Craig: Just to add a little more specific industry color there, Rod. I commented that we did see some consulting off a little bit in Financial services, in banking, capital markets. But we also see a lot of opportunity in more imperative-based projects in Financial Services. So it is interesting how that's shifting. And the only other industry where we maybe see that a little bit is Chemicals.
Rod Bourgeois - Sanford C. Bernstein & Co., LLC., Research Division: Okay. I mean, clearly, your Q1 bookings were great, but I guess, are you seeing any indication that the pace of bookings is starting to temper or that, that could happen over the next year, given all of the macro volatility that's going on around the world?
Pamela J. Craig: At this point, we don't see a significant change in client behavior. We see that budgets may not go up very much, but we also don't hear about them going down. What we talked about before, and Tien-Tsin's question on cost optimization really is paramount, and really that plays our strengths, in terms of getting to real outcomes on business cases there.
Rod Bourgeois - Sanford C. Bernstein & Co., LLC., Research Division: Okay. And Pam, just a real quick on that. Would you expect your Outsourcing revenue growth rate in fiscal '12, particularly in the back half, to be meaningfully better than your Consulting revenue growth rate? Or are you still expecting a relatively balanced revenue growth mix across Consulting and Outsourcing?
Pamela J. Craig: The way we see it today, Rod, is that we do expect the Consulting growth rate to continue to moderate somewhat and we expect the Outsourcing growth rate to be double-digit.
Operator: The next question comes from the line of Julio Quinteros from Goldman Sachs.
Julio C. Quinteros - Goldman Sachs Group Inc., Research Division: Pam, can you comment on the contracted revenue versus last year at this point?
Pamela J. Craig: Contracted revenue? Contracted, I thought you meant like going down. Yes, the revenue that we have under contract. Yes, which we call our visibility and, basically, as we sit here today versus last year, we have 13% more under contract than we did last year.
Julio C. Quinteros - Goldman Sachs Group Inc., Research Division: About the same pace coming out of the fourth quarter, it sounds like, correct?
Pamela J. Craig: Yes.
Julio C. Quinteros - Goldman Sachs Group Inc., Research Division: Okay. And then the headcount adds for the year, was the 60,000 a gross or a net number?
Pamela J. Craig: That's a gross number of the people we expect to join our company this year.
Julio C. Quinteros - Goldman Sachs Group Inc., Research Division: And any mix contribution there, offshore or global delivery versus on-site, or is it balanced across?
Pamela J. Craig: We are expecting to continue everywhere. I mean, we do have hiring down a little bit, but that's in part due to the improved attrition, or largely due to the improved attrition. And we do have some people joining us from some acquisitions. So it's all in the mix.
Operator: The next question is from the line of Bryan Keane with Deutsche Bank.
Bryan Keane - Deutsche Bank AG, Research Division: I guess my question is on the EMEA. Constant currency revenue growth was 10%, that accelerated from 8% last quarter. So I guess it's a bit of a head-scratcher, given all the negative headlines we've heard. So I guess, what's driving that outperformance there and is there some sustainability in that?
Pamela J. Craig: Well, first of all, Bryan, welcome back, it's great to have you back, and I'll let Pierre take the question, since it's Europe.
Pierre Nanterme: Yes, of course, Europe is always a little bit unpredictable, so probably that's why you've been taken by surprise. But there are probably more fundamental reasons that, indeed, as you know, we're working with large companies. So at the same time we, of course, watching carefully, we are watching carefully what's happening in Europe, from a macroeconomic standpoint. But we are putting the same attention to what's happening with our clients. And many, if not all, of our clients operating in Europe, are operating on a global basis. So they are not totally dependent, if you will, on the economic environment in Europe, per se. And we have many projects and programs we are delivering around the world which are, indeed, located in Europe and which is reflected in this 10% growth.
Bryan Keane - Deutsche Bank AG, Research Division: Okay, great. That's helpful. And that my follow-up is just on Outsourcing, in general. Just from your comments and looking at the bookings the last 2 quarters, they're really booming. So I guess what's driving that change, that we are seeing such a big delta in Outsourcing? And maybe where is that strength coming from? Is that across the board and in the segments? I know we talked a little bit about it, but it's just a little bit surprising to see it come on that strong.
Pierre Nanterme: Yes, I think it is indeed coming across the patch. And I think it just reflects -- I mean, first, the nature of the client demand, in terms of cost take out, and I think what we are providing both from an Application Outsourcing, or BPO standpoint, is extremely relevant in our response to the client's need. And second is the positioning we have taken in both BPO and AO, where we continue to drive a lot of innovation, compared to the competition. I think in BPO, we have now extremely good solution, we're calling fourth or fifth generation BPO, where we are bringing more value in the BPO services, to avoid commoditization. And as well, if you would think about the Applications Outsourcing, we are much more service level based, business case-driven, so I think, as well, what we are proposing is more relevant for our clients.
Pamela J. Craig: And just the way our Global Delivery Network has really gotten so strong, in terms of our ability to deliver more and more of these services, as I mentioned in my comments.
Operator: We have a question from the line of Darrin Peller with Barclays Capital.
Darrin D. Peller - Barclays Capital, Research Division: Would you mind just touching for a moment on the actual timing you're seeing, in terms of decision-making? Maybe just touch on budgets, how they are shaping up, in terms of when they should be decided? Are you still expecting January, February, maybe even, March? Or just give us some sense around that?
Pierre Nanterme: When we look at it and, as you can imagine, we are looking at this extraordinarily carefully around one of the velocity, speed to decision, and so forth. And as we speak, and what you're looking in Q1, we've not seen a significant change in clients' behavior.
Darrin D. Peller - Barclays Capital, Research Division: Okay, and that's helpful. So I mean, I guess, bottom line is that you'd expect probably February timeframe then, right? January, February timeframe still help you, you know, guide in your planning?
Pamela J. Craig: Yes, we are not seeing any sort of blips in the way clients are stopping or starting projects, right? We are just not seeing anything in that. But as I mentioned, we did allow for little bit, just in terms of how the revenue kicks in after the start of the calendar year, just in case something like that does happen.
Darrin D. Peller - Barclays Capital, Research Division: Right, right. No, it's just the type of contracts, perhaps. And then on the public sector, local currency growth rate, I know that health is in there also, but still, I mean, 11% was pretty impressive, considering an environment of, I guess, fiscal tightening around the globe. I think it's also been somewhat better that we've seen with peers. Can you give us a sense of what you think is maybe driving that outperformance?
Pamela J. Craig: I'll start and then let Pierre go then, but we are really, really focused on the 3 positioning, as we've been telling you for several quarters now. And I think, what is paying off for us is focus. And we are really helping or working with the governments around the world, on helping them get more efficient, right? Helping them get much more efficient, in terms of the services they're providing to the citizens. And we've really narrowed it down to a few offerings and it is starting. I mean, we're still doing it, right? So we're not done. But we're really pleased with the progress of how this is going.
Pierre Nanterme: You said that very well, Pam. I have nothing to add, that was just brilliant.
Operator: Next, we'll go to the line of Moshe Katri with Cowen.
Avishai Kantor - Cowen and Company, LLC, Research Division: Avishai Kantor for Moshe. First question, Telecom seems to be up very strong, 21% sequentially, and BSFI up strong with 15% sequentially. Can you elaborate on the drivers for that?
Pamela J. Craig: Sorry, you said telecom's up...
Avishai Kantor - Cowen and Company, LLC, Research Division: I'm sorry, operating income in telecom and BFSI -- in telecom was up 21% sequentially and in financial services was up 14.7% sequentially, the operating income of those verticals, can you elaborate on that, what were the drivers?
Pamela J. Craig: Well, there's -- just as I mentioned before with operating margin, there is a lot that goes into that. Generally, contract profitability is the major driver and then there is a few other puts and takes that go into that every quarter. We did have, just in terms of this quarter versus last year, we had -- last year, you may have seen we took a benefit from bad debts. This year, we did not have that. So there's just lots of things that go into that and there's nothing notable in those 2 operating groups.
Avishai Kantor - Cowen and Company, LLC, Research Division: Okay. And then on a sequential basis, revenues in Europe were up much stronger than the U.S. which grew only 1%. Can you talk about that a little bit?
Pamela J. Craig: I'm not sure I have your sequential 1%. I mean, there is always -- you know, the quarters are different just in terms of -- half of the seasonality of our business, so sequential, generally, doesn't make sense. And so I'm not sure there's anything too much you can draw from that.
Avishai Kantor - Cowen and Company, LLC, Research Division: Okay. And then last question, any change in visibility compared to prior quarters?
Pamela J. Craig: Not really beyond what we've provided in the comments. The bookings were strong and, in generally, we see clients' budgets continuing to shape up for next year, as we expected. So there's nothing really major to point out there.
Operator: You have a question from Keith Bachman with the Bank of Montréal.
Keith F. Bachman - BMO Capital Markets U.S.: I understand you managed the operating margins but I did want to hear a little bit more color about the gross margins. Utilization rates were up and attrition was down. Could you just talk about, again, why gross margins were down? And then what you expect the trends to be over the next quarters? And then I have a follow-up.
Pamela J. Craig: Okay, great. Keith, well, I mean, I'm going to stick to the story and that we manage the business to operating margin. I mentioned to you that payroll was up a little bit in gross margin, but it was down a little in sales and marketing. And as I mentioned, most of our people, to the degree when they're not charging contracts, spread their time between those 2 lines, in terms of the activities that they do. So I think that you just, again, we manage the business to operating margin and I think we were -- the contract profitability was good. We had compensation increases that went in on September 1. We're absorbing those well. So there really isn't too much to add there right now.
Keith F. Bachman - BMO Capital Markets U.S.: Then if you're absorbing those compensation, would you expect the gross margins to go up over the next couple of quarters?
Pamela J. Craig: Well, I mean, again, we manage the business to operating margin, there's a lot of puts and takes, there's contracts that are beginning contracts, contracts that are ending, I mean, there's just so much that's going on in a given quarter. So, as you know, we did give annual, an annual outlook for 10 to 20 basis points expansion in operating margin and that's what we're working to do.
Operator: [indiscernible] with Morgan Stanley.
Nathan A. Rozof - Morgan Stanley, Research Division: So maybe a first one for Pierre here because I'd like to turn it back to Europe. Are you guys seeing any noticeable or perceptible shift in clients' adoption of offshoring, in particular? And if so, if you could kind of speak to the drivers of that, or how they are leveraging offshore more and how it's impacting your business?
Pierre Nanterme: Yes, definitely, this is a trend which is as well touching Europe. I mean, this offshore adoption, if you will, already being very vibrant if you take the U.K. with the Nordic countries. So the question has always been, what's going to be the level of penetration in more the Latin countries. And we're starting to see more adoption of offshore, or near-shore as well. And as you know, we have a number of delivery centers, some are more near-shore, others are more offshore. So we -- the possibility to leverage across our offshore centers, such as India, but as well, we can work from Romania, even from Morocco or other places. So we have a full range of possibilities when it comes to offshore so we can deal with language, with culture, as well as with time zone. But clearly, we see a higher rate of adoption from an offshore standpoint.
Nathan A. Rozof - Morgan Stanley, Research Division: Okay, great. And then I wanted to turn it quickly back to the bookings number. Pam, I think you mentioned there were 9 clients who added, at least, $100 million in new bookings. I just wanted to check to see if there were any very large or chunky bookings closer to the $1 billion range like we had seen last quarter that have also benefited bookings for this quarter.
Pamela J. Craig: Yes, we didn't have any giants like that and, otherwise, probably won't comment any further. But there weren't any, like, up close to $1 billion. And also wanted to say I'm still sticking to the 10 to 30 basis points. It was pointed out to me that I said, 10 to 20 basis points, and it is 10 to 30 basis points.
Operator: And next we'll go to the line of Ashwin Shirvaikar with Citi..
Ashwin Shirvaikar - Citigroup Inc, Research Division: So it was a solid quarter, good execution in tough times, congratulations on that. Not that it might have is surprising our comments on the quarter itself, but I wanted you to go to the topic of vendor consolidation. Continued to hear that Accenture continues to gain wallet share versus competition, including, especially McTier [ph] Companies that may not have a full range of services. And I just wanted to ask what innning are we in here? How strong of a driver could this be over the next couple of years?
Pierre Nanterme: Yes, thank you, Ashwin, for the question and I think this is a driver for our growth. As we can see, this vendor consolidation moving forward for very good reasons from our clients. If you want on firsthand, to rationalize your IT cost and second, drive more transformational program, you need to rely -- you can lower number of providers which are able to support you on a much more global basis. So all this, especially when you're working for large companies, large and global companies like Accenture. So this one, the consolidation is still moving forward and it's still a driver for our growth and a way for us to increase the share of wallet in our existing clients.
Ashwin Shirvaikar - Citigroup Inc, Research Division: Okay. And then on currency, I mean, the impact of currency, of course, is expected, but does the continued volatility change how you hedge the risk or whether you try to contractually offset some of it? Or even where you hold your cash, because there was that cash impact on the balance sheet this time, right?
Pamela J. Craig: Yes, I mean, well, first of all, we're not going to be changing anything we do. What we do, do is, we do hedge certain balance sheet risks where we need to. But what was reflected in the cash balance is reflected in the cash we need around the world to run the businesses in those countries. And it sometimes goes one way and sometimes, it goes another. And that's just the way it goes. We also are going to continue to hedge part of the work in our GDN where we have revenues and costs in different currencies and we're going to continue with that practice, we are very pleased with how that's going.
Operator: The next question comes from the line of David Grossman with Stifel, Nicolaus.
David Grossman - Stifel, Nicolaus & Co., Inc., Research Division: Pierre, you talked very positively about emerging markets and, sorry if I missed this, but what percentage of revenue is emerging markets and what rate is it growing? And how does the competitive landscape look?
Pierre Nanterme: We're not giving the information to that level of detail, but I can just mention 2 things. First, I'm very pleased with the progress we are making with our priority emerging markets. Again, we've been extraordinarily focused on growing in that part of the world and putting our act together. And second, as I mentioned before, we've been growing in those markets at a significantly higher rate than the rest of Accenture.
David Grossman - Stifel, Nicolaus & Co., Inc., Research Division: And how about the competitive landscape, is it materially different than what you're seeing in the other geographies?
Pierre Nanterme: Yes, I mean, of course, you would need to face local competition, but it's not different from what we are facing in most of the markets. At the end of the day, the market is split between the large and global companies, like us; the local providers; and what we are calling more, the Indian players, as well which are providing different kind of services. So what we are facing in those markets is the same competition we used to face in the other markets so I think we are extremely well-prepared to compete in those markets.
David Grossman - Stifel, Nicolaus & Co., Inc., Research Division: I see. And just one for you, Pam. It looks like the impact of currency on revenue and EPS were more or less proportionate. Does that relationship generally hold true or does it really just dependent on other factors?
Pamela J. Craig: Yes, it generally holds true, I would say.
Operator: We'll go to the line of Joseph Foresi with Janney Montgomery.
Joseph D. Foresi - Janney Montgomery Scott LLC, Research Division: My first question is just on utilization. I see it sits around 87%. Are you running that a bit too hot? I think you talked about maybe potentially bringing it down. Does that inhibit her at all to servicing any business or how should we think about that in relation to your margin as well?
Pamela J. Craig: I don't think it's too hot, right? I mean it's maybe on the border of getting too hot. So we don't believe it's too hot, we like -- the mid-80s is where we look for it to be and it's really been tracking in that area. And I think we're doing an excellent job of supply and demand balancing right now.
Joseph D. Foresi - Janney Montgomery Scott LLC, Research Division: And then just secondly, and thank you for that. Just so I can kind of characterize your position right now, it sounds like there's nothing really that you're seeing in the marketplace. Would you say that your optimism was just towards the demand environment is just a strong as it was last quarter, and the element of conservatism may be coming from headline rather than what you're seeing in the market? Maybe if you could just frame that for us.
Pierre Nanterme: Yes, I mean, good question indeed. I think we know we are entering fiscal '12 with the position of strength, this is what we mentioned last quarter. We were very pleased with our Q1. We are remaining extremely close to our clients and what we see, as we speak, is indeed the kind of services we are providing are extremely relevant to respond the needs of our clients. Now, on the other hand, we are very thoughtful and we're watching carefully what's happening in the marketplace and especially in the macroeconomic environment and especially, in the Eurozone. And this is what we're providing in our guidance and in our direction, is I think exactly the right balance between the confidence in our self and the services we are providing, and just being aware of what's happening outside.
Joseph D. Foresi - Janney Montgomery Scott LLC, Research Division: I'm going to squeeze one last here, Pam. How should we think about the depreciation of rupee as we look at your margins? I know you have a larger global delivery model, but maybe you can just talk to that.
Pamela J. Craig: Well, I mean, movements of the rupee really only have a modest impact on our margins because even though we have a large headcount in India, it's really not proportional to our total cost, and we do offset them partially by hedging. So, I mean, so the whole intent is to really try to minimize that impact on our overall global results.
Operator: We'll go to the line of George Price with BB&T Capital Markets.
George A. Price - BB&T Capital Markets, Research Division: I guess I know that some questions have been asked and it's been circled around, but I wanted to press a little bit more on the guidance. In keeping the 7% to 10% range, in light of the strong first quarter results and the second quarter guidance, just doing upper range of the constant currency guidance range , I mean, it implies a fairly significant deceleration in the second half of the fiscal year, maybe to around like the 7% kind of range, in constant currency and, obviously, even lower, if we think of the low end of the constant currency guidance range. And then if we think Outsourcing is going to grow faster than Consulting, given what we are observing in your comments, then potentially, a real deceleration in Consulting. And so notwithstanding that, I know you want to be conservative, in light of what we're seeing in the macro environment, but I guess, if you can give a little bit more color on that because it just feels beyond just conservatism.
Pierre Nanterme: Yes, I will start and Pam will give more color on this as well. But, again, we want to be thoughtful and balanced in our judgment. So again, we have a strong start and we are very pleased with where we are. We have strong bookings which is giving us some visibility. However, we know that there are remaining uncertainty and volatility in the market place. And when we are putting all of this together and we need to apply our judgment, then we believe that the guidance we are giving, from 7% to 10%, is the right one, given where we are, and what we know and where we are starting from. But Pam, you can further comment.
Pamela J. Craig: Yes. I'll probably just sort of repeat what you said. But I think similar to last quarter, I mean, we look at this very seriously, we look at puts and takes. And so Q1 was even stronger than we expected. Q2, we have factored in some prudence, in case there are some slight level of calendar year delays. And then as you look past Q2, we recognize that GDP forecast, globally, has maybe inched down a little bit, right? When you think about places like the Eurozone, the U.K. and Japan. And as I mentioned, we do have some work to do to replenish the pipeline. So we're just trying to take all that into account and be thoughtful and prudent about how we see it.
George A. Price - BB&T Capital Markets, Research Division: Okay. I guess just kind of segueing to that comment on the replenishing the pipeline and the work that you have to do, I guess, what's driving that? Obviously, you are pulling a lot out of the pipeline, in terms of booking and that's a great. But in terms of having to replenish it, I mean, what's driving -- is there just slower decision-making on things coming in? I mean, just a little bit more around that would be helpful.
Pamela J. Craig: Yes, I mean, I think coming off of 2 strong quarters of bookings, right? Then there's replenishment work to do, that's just a given. And then, as I mentioned, we also see some shifting from Consulting to Outsourcing for how we originally did our plan this year, so that's what we're focused on.
George A. Price - BB&T Capital Markets, Research Division: Okay, last thing, if I could. Was fiscal 1Q '12, the first quarter for year-over-year decline in the banking in capital markets consulting work? You mentioned that, that was -- that, that actually had a year-over-year decline. Was it the first quarter that we saw that, and was that driven by consulting predominantly in Europe? Or did you see that in the U.S. as well?
Pamela J. Craig: We did not see it in the U.S. and I believe this is the first quarter. I don't think last quarter had a year-over-year consulting decline then. We can confirm that with you, but I don't believe it did, if memory serves me.
Pierre Nanterme: Yes, I don't think so.
Operator: The final question today will come from the line of Dave Koning [ph] with Robert Baird.
Nathan J. Novak - Robert W. Baird & Co. Incorporated, Research Division: This is actually Nathan Novak on line for Dave. This is sort of just piggy back off that last question, but in the Financial Services vertical, last a couple of quarters, profitability has been a little worse than, what's called the last or the prior 7 quarters, what would it take to materially change, to get that back up to 17%, 18%? Is it a mixed shift thing, compared to some of the other verticals, or could you talk a little bit more specifically about the drivers there?
Pamela J. Craig: Well, first of all, I think Financial Services has exhibited very strong profitability in the past. So they're probably a little bit more in the pack now. And I think that, as you mentioned, operating groups go through different cycles, right? In terms of their business and big step starting up and that sort of thing. And I think, we have, as I mentioned in the comments, right, we just have lower contract profitability right now. And they're focusing on business development and we also had some acquisitions that we're integrating and had some costs related to those.
Pierre Nanterme: Yes, thank you. As you know, Financial Services is very close to my heart. So I'm going to work with the currently leadership to make sure that we show a good game. Thanks, again for joining us today. We are very pleased with our excellent results in the first quarter and we remain confident in our ability to drive profitable growth. We continue to invest to differentiate Accenture in the marketplace and to ensure that our strategy and capabilities are closely aligned with our clients' long-term competitive needs. In closing, I would like to thank each and every one of our dedicated men and women around the world for their commitment to Accenture and to our clients. I would also like to thank our investors for your continued support. We look forward to speaking with you again next quarter. In the meantime, if you have any questions, please feel free to call KC to make arrangements for follow-up. I wish you a happy holiday season and all the best for a happy new year.
Operator: Ladies and gentlemen, that does conclude our conference for today. This conference will be available for replay starting at 7:00 p.m. this evening and running through March 22, 2012. You may access the AT&T executive playback service at any time by dialing 1 (800) 475-6701 and entering the access code of 222491. [Operator Instructions] International participants, please dial 1 (320) 365-3844 and again the access code is 222491. That does conclude our conference for today. Thank you for your participation and for using the AT&T executive teleconference. You may now disconnect.